Operator: Good afternoon, and welcome to the SkyWest Inc. Fourth Quarter and Full-Year Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please also note that this event is being recorded. I would now like to turn the conference over to Mr. Rob Simmons. Please go ahead.
Rob Simmons: Thanks everyone for joining us on the call today. As the operator indicated, this is Rob Simmons, SkyWest’s Chief Financial Officer. On the call with me today are Chip Childs, President and Chief Executive Officer; Wade Steel, Chief Commercial Officer; Eric Woodward, Chief Accounting Officer; Mike Thompson, SkyWest Airlines Chief Operating Officer; and Terry Vais, ExpressJet Airlines Chief Operating Officer. I would like to start today by asking Eric to read the Safe Harbor, then I will turn the time over to Chip for some comments. Following Chip, I will take us through the financial results then Wade will discuss the fleet and related flying arrangements. Following Wade, we will have the customary Q&A session with our sellside analysts. Eric?
Eric Woodward: Thank you, Rob. Today’s discussion contains forward-looking statements that represent our current beliefs, expectations and assumptions regarding future events and are subject to risks and uncertainties. We assume no obligation to update any forward-looking statements. Actual results may likely vary and may vary materially from those anticipated, estimated or projected for a number of reasons. Some of the factors that may cause such differences are included in our 2015 Form 10-K and other reports and filings with the Securities and Exchange Commission. Chip?
Chip Childs: Thank you, Rob and Eric. Good afternoon and thank you for your interest in SkyWest. During the fourth quarter and throughout 2016 we continued to execute on our plans to reduce our risk and evolve our entities to become better more efficient operations that add value for our people, our partners and our shareholders. To start, I think it's important to point out our significant fleet movement during 2016. Over the past 12 months we've added, removed or redeployed more than 125 aircraft across our base fleet of 652 aircraft. Our ability to execute these significant transitions while successfully operating more than 1.1 million flights is only possible with the exceptional work of the 19,000 professionals across their organizations. It is clearly no small pass to deliver strong reliability and service through significant fleet movement and I want to thank our people for once again doing an exceptional job. And the evolution of our fleet continues to reduce our risk, improve our capital flexibility and ensure we adapt to our partners' long and short term needs. Reducing our seven CRJ 700 tariffs ensuring strong liquidity, combined with our pilot availability also helped reduce our risk moving forward. As a result, in 2016 we achieved 38% growth in adjusted EPS over 2015 which Rob will touch on later in the call. During the fourth quarter, we continued to make progress on our fleet transition plan and this evolution continues to produce positive outcomes. We added new E175 to our Alaska, Delta and United operations. We redeployed several CRJ 700 aircraft from our United operation to our American and Delta operation. And we began removal of the CRJ 200 from our ExpressJet operation as we moved to a primarily dual class CRJ operation with that entity in 2017. At the same time, we announced a new agreement with ExpressJet to operate CRJ 700 for American. In fact, as we reduced the 50-seat aircraft at ExpressJet, we will grow the dual class fleet at that entity, an important evolution for long-term viability there. Additionally it's worth noting that for the 2016 year. ExpressJet produced a $30 million financial improvement over 2015. Although removing the CRJ 200 fleet at ExpressJet, from an overall perspective we continue to see strong industry demand for 50-seat flying with proper economics. By the end of 2017, we will expect to have removed 200 50-seat aircraft from our fleet over the last three years, but we are confident that our anticipated 50-seat fleet aircraft levels outlined in today's release will stabilize after 2017. Our objective is to ensure we are best positioned to meet industry demand and our ability to optimize our overall fleet mix and deliver strong performance continues to meet that objective. Strong operating performance and service is paramount to what we do on a daily basis. Our two entities continued to deliver exceptional operating performance during the quarter. SkyWest Airlines delivered an impressive 99.9% adjusted completion for the quarter. An exceptional mark during any quarter, but especially noteworthy is they accepted 19 new E175 in the same period. ExpressJet delivered a solid 99.8% adjusted completion for the quarter. Both of our airlines are delivering top performance within our partners’ portfolios. Once again after fourth quarter one or both airlines has been the top performing carrier in United’s network for more than two years now Together, our two entities operating more than 270,000 flights in the quarter and continued to deliver consistent exceptional reliability and service. Our operational success continues to drive demand for our product and we're well positioned to deliver on that demand with our pilot availability and fleet flexibility. Looking forward, we expect to complete delivery of this round of new E175 aircraft, improve cash generation and ensure we are best positioned for continued opportunities and strong demand across the industry through 2017. As many of you know, the airline industry is often about being in the right position at the right time and our ability to execute on our current strategy has positioned as well for continued success along those lines. As we've experienced recently, additional new flying can come unexpectedly in changing conditions and as we continue to improve our position, we are focused on remaining the partner of choice for existing and new growth. We believe we're exceptionally positioned today as our capital and pilot allow us to respond immediately to these opportunities. As we harvest cash flow and delever our balance sheet over the next few years, we plan to be well positioned in the industry if and when scope or other conditions evolve. So although our current delivery cycle of E175 is completed in 2017, we are very well positioned for any new future opportunities. Additionally, our ability to attract and retain top aviation professionals continue to said SkyWest apart in our industry and to provide added value to our employees, our partners and our shareholders. I want to again thank our more than 19,000 professionals for their exceptional work in delivering world-class service for our passengers, our partners and for each other. Rob?
Rob Simmons: Today we reported GAAP net loss of 270 million or $5.22 loss per share for the fourth quarter of 2016 compared to net income of 41 million or $0.78 from Q4 2015. Adjusted net income for Q4 2016 was 29 million or $0.54 per diluted share, up from adjusted net income of $25 million or $0.49 from Q4 2015. As we previously announced, the adjusted results for Q4 2016 exclude a $466 million pretax non-cash impairment charge and $7 million in early lease return charges. GAAP net loss for the 2016 year was $162 million or $3.14 loss per share compared to net income of $118 million or $2.27 per diluted share for the 2015 year. Adjusted net income was $143 million or $2.73 per diluted share for 2016, up from the adjusted net income of $103 million or $1.98 per diluted share for 2015. Revenue was $758 million in Q4 2016, up $5 million from Q4 2015. The increase in revenue included the net impact of adding 19 additional E175 aircraft during the quarter, the most deliveries we have ever taken in a quarter. We expect to put 18 more into service during 2017 to take our total fleet of E175 to 104. Our total fuel cost per gallon averaged $1.85 during the fourth quarter, almost flat with $1.84 per gallon in Q4 2015 and up from $1.75 per gallon in Q3 2016. Average fuel cost per gallon in 2016 was $1.70, down from $2.09 in 2015. Let we touch on the two items we excluded from our $0.54 adjusted EPS this quarter. In December 2016, we announced that our ExpressJet operation expects to transition to flying primarily dual-class aircraft in its CRJ operation by removing its 50-seat CRJ 200 aircraft from service over the next year. Wade will provide more color on this shortly. Additionally, we announced in December the early termination of our residual value guarantees by Bombardier of 76 CRJ 200 aircraft owned by SkyWest Airlines and ExpressJet. As a settlement for this early termination, Bombardier paid us $90 million by the end of the year along with other considerations. Both the required sale of each aircraft and the anticipated cash requirement to SkyWest of returning the aircraft to mid-time condition were points of risk and uncertainty for SkyWest that this termination agreement eliminates. Consequently, we reduced the estimated residual value on our CRJ 200 aircraft based on current market conditions. As a result of the Bombardier RVG termination agreement, current market values of CRJ 200 aircraft without a Bombardier residual value guarantee and the scheduled removable of over 40 CRJ 200s from service in 2017, SkyWest evaluated its total 50 CRJ 200 fleet and related long-lived assets for impairment in Q4 2016. So as I indicated earlier, we recorded a non-cash impairment charge in Q4 2016 of $466 million pretax on our CRJ 200 aircraft and related assets, which is net of the 90 million in cash proceeds from the Bombardier termination agreement. As I also mentioned earlier, we recorded a $7 million non-cash early lease return charge this quarter. This completes the lease return charges of 10 to 15 million we had estimated in last quarter's conference call. Let me say a couple of things about our balance sheet. We ended the quarter with cash of $565 million, up from $498 million a year ago. We issued $429 million in new long-term debt during Q4 2016 to finance the 19 new E175s delivered during the quarter with total debt increasing by $320 million net of scheduled debt service payments. Total debt as of December 31, 2016 was $2.5 billion, up from 2.2 billion as of September 30, 2016 and 1.9 billion from December 31, 2015. SkyWest also used $24 million in Q4 2016 for other capital investments, 17 million for an early retirement of debt and $76 million to purchase the 19 E175s. We are very bullish on our ability over the next few years to generate free cash flow net of scheduled debt payments. The cash required for the final 18 E175s in 2017 will be reduced by a $40 million deposit that we expect to utilize. We believe we will end 2017 up nicely in cash on our balance sheet over the current level absent any additional investment opportunities beyond the 104 E175. We expect our debt at the end of 2017 to peak at around $2.6 billion once the last tranche of E175 is delivered. Again, absent any additional investment opportunities, our total debt net of cash could fall by up to $1 billion from the end of 2016 to the end of 2019 including our expected growth in cash net of schedule debt repayments. Again consistent with past practice, we will not give formal specific earnings guidance. That being said, let me provide a little color. For the full-year 2017, we would expect EPS excluding special items to grow by a low-double digit rate over our 2016 adjusted EPS of $2.73. Q1 is benefiting from the new E175 flying we have put in place over the last year, but it’s being negatively impacted year-over-year by temporarily higher pilot carry and training cost, higher fuel costs and adverse weather compared to Q1 2016. Thus we would expect Q1 of 2017 to be roughly flat with our Q2 2016 results. We would expect completing the CRJ 700 transition to American and our strong pilot situation to benefit us in our seasonally stronger second and third quarters. Wade?
Wade Steel: Thank you, Rob. Keeping with our conversation today, I’ll first review our fleet changes for 2016, then discuss our current fleet expectations for 2017. Throughout the very busy 2016, we executed on our strategy of removing aircraft from unprofitable agreements and transitioning our fleet to larger new aircraft as well as redeploying aircraft with extended flying terms to mitigate financing risk. From year-end 2015 to year-end 2016, we move from 660 total aircraft to 652 total aircraft in our fleet. Well, the net difference is only eight aircraft. We executed significantly fleet movement and transitioned across the fleet during those 12 months. Specifically, during 2016, we added 41 new E175s to our fleet including the first 13 of 19 new E175s under our Delta agreement. 18 new E175s under our United agreement for a total of 58 under contract with United and 10 E175s under our Alaska agreement for a total of 15 under contract with Alaska. This brought our E175 year-end 2016 total to 86. Also during 2016, we signed agreements to redeploy 49 SkyWest airline CRJ 700s from United to other major partner; 37 to American and 12 to Delta. At year-end 2016, 23 of the 37 aircraft were in service under our American contract. We expect the remaining 14 will be redeployed in the first half of 2017. At year-end 2016, all 12 Delta CRJ 700s were operating within our Delta system as we discussed last quarter. These redeployments essentially mitigate any financing risk on our CRJ 700 through 2019. As discussed in previous quarters, we expected to return of nine CRJ 700s that were operating for Alaska under an early lease return arrangement. We replaced these nine CRJ 700s with new E175 under long-term flying agreements with Alaska. At year-end 2016, all nine CRJ 700s were removed from service and all these return charges are accounted for on these aircraft. We also made changes to our 50-seat fleet in 2016, 28 ERJ145s were removed from our fleet primarily from an unprofitable United contract and 12 CRJ 200s were removed from various contracts during 2016. At year-end 2016, we had 142 ERJ145 under contract with United. Looking ahead to 2017, I’ll review our anticipated fleet forecast and provide some color on the changes we anticipate. We expect to take delivery of the 18 additional E175s during 2017, which will conclude the delivery cycle on this round of the E175. We expect 17 of those 18 aircraft will be delivered and placed under contract with Delta, United, Alaska during the first half of 2017. In total, we anticipate 104 E175s in our fleet by year-end 2017. In CRJ 700 fleet, we anticipated SkyWest Airlines will transition its 14 CRJ 700s from United to American by the middle of the year. Additionally, ExpressJet will begin operating 12 CRJ 700s for American this year under a multi-year agreement as we move ExpressJet CRJ operation to primarily dual-class. As announced in December, these 12 CRJ 700 aircraft are part of our existing fleet and were originally planned to be returned early to the [indiscernible]. In our 50-seat fleet, we anticipate removing 59 ERJ145s in 2017, 45 of which are under an unprofitable United contract. Our United ERJ145 contract has an expiration of December 31, 2017. However, United has two one-year renewable options at modestly improved economics. United has exercised its first one-year option to extend the contract through 2018. We continue to work with United on a mutually beneficial long-term solution for the ERJ145. Additionally, we plan to remove 46 CRJ200s, primarily from the ExpressJet fleet in accordance with their natural contract expiration and as part of the plan to move ExpressJet CRJ operation to dual class. We anticipate more than half of these aircraft will be returned to the lessor under natural lease expirations in 2017, while the remaining will be sold or leased to other third party. We anticipate these changes to make ExpressJet a more efficient operator. However, overall demand for our remaining 50-seat aircraft remain very strong and we are working with each of our major partners to meet their ongoing 50-seat needs. We have recently extended 22 CRJ200s with American and 9 CRJ200s with Delta under contracts with SkyWest Airlines. At the end of 2017, we anticipate having a fleet of over 250 50-seat aircraft. We expect that fleet size will stabilize at that point, so that we can continue to meet the industry demand that Chip noted earlier. As demonstrated in 2016, execution of our fleet strategy continues to produce tangible result to our model and overall profitability. As we have discussed today, we expect fleet transitions to continue throughout 2017 as we reduce unprofitable flying, redeploy aircraft with other partners and place larger, new aircraft into service to minimize our risk and continue to deliver on our commercial agreements.
Rob Simmons: Operator, we're now ready for Q&A.
Operator: [Operator Instructions] Our first question comes from Michael Linenberg of Deutsche Bank. Please go ahead.
Michael Linenberg: Yeah. Hey, good afternoon everybody. Just a couple of questions here. Rob, I heard you talk about the Bombardier agreement, receiving $90 million paid along with other considerations. Can you at all talk about what those other considerations are?
Rob Simmons: We're not going to get into too much detail on that, but we can give you a little color. Wade can help you a little.
Wade Steel: Yeah. We've been working with Bombardier on this for a little bit. As Rob said, in the release, we received $90 million. Some of the other benefits are, we don't, we can actually retain some of these, we can retain all of these aircraft and continue to fly them and operate them within our current system and network. The other consideration items are, they’re important to us, but we're not going to get into those levels of detail.
Michael Linenberg: Okay, great. And then those airplanes, I mean, they had the residual value guarantees, are there other airplanes in your fleet, other CRJ200s or 700s or even Embraers that have RVGs or does this take care of all of them across the fleet?
Wade Steel: This is Wade again. So the 76 were all of our CRJ200s at our residual value guarantees on them. We also have some residual value guarantees on our 700s and 900s as well.
Michael Linenberg: Okay. Great. Okay. And then maybe just one last one here. So, we get to year end and you're done with all of your new aircraft deliveries. Anything out there, anything percolating from the manufactures, not manufacturers, from the airlines, from your airline partners whether current or even maybe even potentially new partners about service with E175s or any other carriers. I mean, are there any RFPs out there that we should be aware of or anything that you can talk about?
Chip Childs: Yeah. Michael, this is Chip. Thanks for your call. Appreciate it and great question and one that we certainly spend a lot of time on and I think it’s interesting to note from a strategic perspective and what we spend a lot of our calories doing, there's a fair share that we monitor new 76-seat aircraft that may be coming down the pipeline. As you know, this last year, we’ve had a couple of new mainline agreements with Delta and United that didn't provide any relief right along those lines. And so from our perspective though, when you look at what strategically we’re doing, that’s kind of why I started at the beginning of the script in talking about the number of agility type of items that we had internally to moving our existing fleet around for new opportunities. When we discuss fleet flexibility and changing market demands, only a small portion of that have anything to do with new aircraft. So I think that we are very optimistic about our position that we're in today to respond to a lot of what we anticipate changing market conditions before the next round of RFPs come. So that's our priority. We love to take a look at new aircraft, certainly our people new aircraft, but there's no question that we also still see some good strong internal opportunities just didn't, sort of the regional chaos if you will. But that being said, we also continue to have long term conversations with pretty much all four of our partners about what happens in the next two, three, four, five years as it relates to new aircraft.
Operator: Our next question comes from Helane Becker of Cowen & Company. Please go ahead.
Conor Cunningham: Hey, guys. It's actually Conor Cunningham on for Helane. So I just had a question on the elevated pilot training costs. So can you say how much that was in the fourth quarter or maybe what you're expecting in the first quarter and should we expect those costs to go away as your delivery stream goes or should there always be some sort of training portion that we should expect in your numbers going forward?
Chip Childs: Yes. So in the fourth quarter, Conor, we had what you could think of as two nickels worth of softness, a nickel related to pilot training and carry cost roughly as we’re preparing for the E175 deliveries and just the overall pilot situation was very good and very strong for us. And then we had the transition costs for the 700s that, both of those things are continuing into the first quarter, but both of them are definitely temporary in nature. The pilot situation is a great problem for us to have. Right now, that creates opportunity for us in our seasonally stronger Q2 and Q3 and the transition costs from getting those 700s pushed over to new partners, I mean, that’s huge to us from a elimination of tail risk perspective, it pushes a couple more years of contract extension on those and that transition should also be complete by roughly mid-year.
Conor Cunningham: Okay. And I guess just a follow up on that. So is it safe to say that the majority of your, so you gave full year guidance in terms of EPS and you gave first quarter, but is it safe to say the majority of your growth is going to be back end loaded, just given how the training costs and transition costs are kind of playing out?
Rob Simmons: Yeah. That is probably fair. Again, Q2 and Q3 are seasonally our best quarters, but as we get through these transitions and push those 700s into service, that will be largely second half.
Conor Cunningham: Okay. And then in terms of, I don't want, overhaul is probably a bad word, but the change in fleet at ExpressJet, so one is ExpressJet, well, was the ExpressJet profitable in the fourth quarter and two, given the change to the all dual class there, should we expect that to be a profitable entity now or is there still kind of room to go there?
Chip Childs: So let me give a little more color on that, Conor. Thanks for the question. This is Chip. And just briefly, I think for the year, ExpressJet basically ended up at a slight loss. And I would anticipate next year, we're probably going to be in the same position, even though, we're eliminating some unprofitable flying with the 50-seat aircraft. And a lot of it is more transition costs. We are growing an optimism clearly with that strategy what happens at the end of ’17 with it being an all dual class fleet. It provides strategically more agility for the enterprise to respond to market demands and that type of stuff, but it's a great operation. They deliver an unbelievably well performed and safe operation, great people out there, almost made probability this last year and we anticipate will be roughly about the same in ‘17.
Conor Cunningham: Okay. And then just one last one, so did I hear you correctly saying that you expect your debt to be down 1 billion from now until and so it’s going to be elevated a little this year as you take some more deliveries, but then kind of turned down $1 billion by 2019, is that all just scheduled debt repayment or is that you just being -- or is there some sort of opportunistic?
Chip Childs: So let me be clear on what I said. So, there'll be -- the debt should peak at the end of 2017 at about $2.6 billion. The $1 billion was the debt, net of cash. So we expect between now and ’19 to both reduce our debt and increase our cash. And so debt, net of cash, from ’16 to debt, net of cash, in ’19 could be down as much as $1 billion.
Operator: Our next question comes from Savi Syth of Raymond James. Please go ahead.
Savi Syth: Hey, good afternoon guys. If I can just quickly follow-up on the 1Q question a little bit. So I think that the process was that the pilot training costs would maybe go away or start going away or be less in 1Q, I understand the CRJ700 there changes there, so maybe that cost continuing. Wondering just versus previous expectations, what we might be seeing then if that could then -- it sounds like the CRJ cost is continuing in to 2Q and if they should assume some of the pilot costs continuing to 2Q as well?
Chip Childs: Well again Savi, we're expecting to take the bulk of the remaining E175 deliveries in the first half of the year. So a lot of our pilots will be deployed against those new deliveries that will happen. So I think that some of the transition costs from the 700s and some of the pilot carrying training costs are going to carry into Q1 as we indicated. But we also have some weather issues and higher fuel price that are going to be affecting Q1. So that’s why we were guiding to roughly flat with the year ago number.
Savi Syth: And then just on the 50-seater stabilizing after 2017, so it sounds like United, the agreement to kind of extend that out to 2018 helps that a long way, but does that also mean that there aren't any CRJ contracts that are coming off contracts or they've been renegotiated or just kind of wondering what the confidence level is on the stability in the 50-seaters beyond 2017?
Chip Childs: Yes. So we’ve obviously got a lot of what I would say fleet flexibility with our 50-seaters. We expect our fleet to stabilize around 250 and that the reason why is the demand continues to be very strong. We have dialog with every one of our major partners today about 50-seat lift and those conversations are going on today and they’re beyond further, and they’re lift beyond 2017. And so we think that the demand will continue to stay strong. We are a very strong 50-seat operator and we continue to see the demand staying stable for us in that fleet type.
Savi Syth: Helpful. And I might be reading this, maybe I misheard it, but you mentioned that 45 of the E145s that are going away next year are unprofitable. I thought all of the, those E145s, E135s were unprofitable. I’m just curious did I mishear that or are there some that were profitable?
Chip Childs: Yes. So there is an American contract that is also expiring in the first part of the year that was profitable.
Savi Syth: Okay. Got it. That makes sense. Okay. And then just on the, my last question, on the pilot side, it is just, your smaller competitors, much smaller competitors are seeing just increasing pilot retention or even attraction issues and I realize that you have the 50-seaters coming off to fund it, but on the flip side, your E175 growth should start moderating here after the half of the year. So as we look out for the end of ’17, end of 2018, like how would you characterize the industry's, what the industry is facing from a pilot perspective and maybe how SkyWest downs it within that?
Chip Childs: Yeah. So this is Chip. It is a great question and I can tell you it’s an issue that we spent probably more time on than anything, because of the value of what it does for the enterprise and that, but we -- let me kind of present it in a way of, there's a lot going on outside of our enterprise relative to what other folks are doing with pilot, but I think that what we've certainly seen, at both entities is that, as we recruit pilots, pilots are very smart. They're very astute and they know what they want. Sometimes, it's just money, but most of the time, it’s a lot of other things that we offer. We have a great domicile. We have some of the industry best training and safety programs and that's a reputation that's worth more than any signing bonuses and those types of things most of the time, but our outlook on it certainly is a complicated model where we look at what our partner demands are, look at what our fleet commitments are and evaluate what our recruiting abilities are. There is no question that between the two enterprises, it's a little different picture. Certainly, it is easier as unprofitable aircraft goes away on the ExpressJet side to meet that demand and continue to do what we need to do. That’s part of the reason why we made that strategic move on the CRJ side to go to an all dual class fleet, take out some of the more unprofitable ones on 50-seaters and enhance some of the domiciles and that flying that the pilots love relative to dual class. On the SkyWest side, certainly we've had strong demand for our fleet as we continue to add 175 and I can tell you that the folks at SkyWest are doing an outstanding job recruiting and we're always very, very careful about what we enter into from a commitment perspective with our partners, especially long term out. Beyond 12 months, the visibility of pilot become a little bit more gray than what they are in the next three months. And part of what I think is going to make us successful going forward is to have a very good solid operating platform that's reliable and safe, training pilots in my view better than anybody else in the industry. We have excellent pay and benefits and everything here and we're going to continue to be focused on taking a very complicated model with a lot of variables and molding that into first and foremost in a very safe manner, delivering what our major partners need. So our outlook in ’17 is good. We feel comfortable with our pilot levels in ’17. ’18, we like what our opportunities are and flexibilities are, but the picture for ’18 is going to continue to develop throughout this year and we'll keep you guys apprised of how that goes.
Operator: Our next question comes from Steve O'Hara of Sidoti and Company. Please go ahead.
Steve O'Hara: Good afternoon. Hi. I was just curious on the, I think it was the ASM forecast and I mean it looks like the fleet coming down fairly substantially I guess year-over-year and then you have ASMs up by about 6% in the third quarter. I know you have the full fleet of E175s in there, is that just all that is just more E175s versus less smaller aircraft?
Rob Simmons: Yeah. It’s a fleet mix. The dual class planes obviously have more seats and longer stage length.
Steve O'Hara: Okay. And then just on the fleet risk going forward. I mean, it seems like it's mitigated and what beyond 2017 does that get better. Is it -- does it get worse or how does that look?
Chip Childs: Steve, this is Chip. Thanks for your question. It is a great one and I can say that as time goes on, the way we've started to manage our fleet over the last two to three years as time goes on, it just continues to provide us more flexibility and less risk. And so that is good. The further we get out, the more it's mitigated and the more flexibility within our fleet to respond to the demands within the industry.
Steve O'Hara: Okay. And then maybe just one more, so on 2017, based on your let's say your outlook for EPS and kind of low double digit improvement year-over-year, how much of that is at players, what’s the maybe upside or downside potential assuming some of these moves don't go the way you expect or maybe go better than you expect. Is there a way to maybe put a number on that?
Rob Simmons: Sure. Steve, it assumes not surprisingly that we get the 104 E175s by the end of the year and that for now, there are no more investment opportunities this year. So, it's sort of playing out the current story that we see and the situation that we're in right now again with strong pilot situation, we hope that positions us, as Chip mentioned, we've got the capital and we've got the pilots to hopefully monetize any unexpected opportunities that are out there.
Operator: This concludes our question-and-answer session. I would now like to turn the call back over to Mr. Chip Childs for any closing remarks.
Chip Childs: Thanks, Andrea. Again, just want to thank everybody for your continued interest in SkyWest. We're pleased with our progress at both entities and we're very pleased with the position that we are in as far as future opportunities will be and we look forward to continuing this evolution and progress and we'll keep you updated next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.